Operator: Good afternoon, and welcome to the Western Union third quarter earnings conference call. All participants will be in listen-only mode. Please note, this event is being recorded. I would now like to turn the conference over to Mike Salop, Senior Vice President of Investor Relations. Please go ahead, sir.
Michael Alan Salop - The Western Union Co.: Thank you, Laura. On today's call, we will discuss the company's 2018 third quarter results and then we will take your questions. The slides that accompany this call and webcast can be found at westernunion.com under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in supplemental tables with our press release. Today's call is being recorded and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union's filings with the Securities & Exchange Commission, including the 2017 Form 10-K, for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will discuss some items that do not conform to generally accepted accounting principles. We've reconciled those items to the most comparable GAAP measures on our website, westernunion.com under the Investor Relations section. All statements made by Western Union officers on this call are the property of the Western Union Company and subject to copyright protection. Other than the replay noted in our press release, Western Union has not authorized and disclaims responsibility for any recording, replay, or distribution of any transcription of this call. I would now like to turn the call over to Hikmet Ersek.
Hikmet Ersek - The Western Union Co.: Thank you, Mike and good afternoon, everyone. Third quarter results were solid driven by continued double-digit revenue growth from our digital westernunion.com business and strong overall profitability with operating margins just under 22%. Consumer money transfer and bill pay constant currency revenue trends were generally consistent with the second quarter, while Business Solutions delivered good improvement and returned to positive growth. Consumer money transfer indicators remain healthy with transactions growing 4% and cross-border principal increasing 6% in the quarter or 7% in constant currency. And our digital business continued its strong run as westernunion.com money transfer revenue grew 19% in the quarter or 20% constant currency. Constant currency money transfer growth was led by Latin American, Caribbean and European regions with continued good performance from our U.S. outbound business, offsetting declines in the Middle East, Asia and U.S. domestic business. The price reductions that we implemented earlier in the year in key Middle East corridors are generating positive results, as we started to see transaction improvement in the region. In addition, our operating margins increased substantially compared to the first half of the year, as expected, and cash flow generation was solid. Overall, we remain on track with our full-year financial outlook, with a narrowing of our earnings per share ranges and an increased adjusted earnings per share outlook. Strategically, we made good progress on several key initiatives, including advancing our digital expansion efforts and adding new cross-border payment opportunities to our global money movement platform. Our digital westernunion.com money transfer service is now available in more than 50 countries and territories, including recent launches in Mexico and Malaysia, with the capability to send to Asian locations and billions of accounts around the world. We also launched a high-value service in the UK, where consumers can now send up to £50,000 through westernunion.com to bank accounts in key receive markets. It's a part of our strategy to penetrate new customer segments in cross-border transfers. In other strategic initiatives, we are very excited about our recent engagement by Amazon to launch a new payment option for their international customers. In this arrangement, we are leveraging our cross-border platform and network to allow shoppers to pay for online purchases in person at our agent locations in select countries for now. This will provide access to online shopping for millions of potential Amazon customers, who will be able to shop global and pay local. It is just one example of how we are leveraging our unique global platform in new ways, bringing value to partners through our technology stack, API, settlement engine, and compliance infrastructure. Now returning to 2018 results, profitability was strong and consumer transactions growth remained solid. We are also making good progress with the WU Way, expanding lean and agile management throughout the company, which is contributing to increased efficiency and to strong margins. And we continued to deliver shareholder-friendly capital allocation, as we have returned over $600 million to shareholders through share repurchase and dividends through the end of the third quarter. The Business Solutions results in the quarter were more encouraging. I assume you will have some questions regarding recent stories that we may be considering divesting this part of our business. While we will not comment on specifics, we have stated we will consider any strategic options for our business units that could benefit shareholder value. We are currently reviewing various alternatives, but do not have anything to announce at this time, and there's no assurance any transaction will occur. In the meantime, we remain focused on driving the long-term performance of all our businesses. Now to give you more detail on the quarter's results, I would like to turn the call over to Raj.
Rajesh K. Agrawal - The Western Union Co.: Thank you, Hikmet. Third quarter revenues of $1.4 billion declined 1% or increased 3% on a constant currency basis compared to the prior-year period. Currency translation net of the impact from hedges reduced third quarter revenue by approximately $53 million compared to the prior year, primarily due to continued declines in the Argentine peso. The decline in the peso negatively impacted total revenue by 3 percentage points. This impact was partially offset by an increase in our Argentina businesses local currency revenue per transaction, primarily driven by the effects of inflation on our bill payments business. The increase in Argentina revenue per transaction benefited total revenue by approximately 1.7 percentage points. In the Consumer-to-Consumer segment, which represented 80% of company revenues in the quarter, revenues were flat or increased 2% constant currency, while transactions grew 4%. Total C2C cross-border principal increased 6% or 7% on a constant currency basis, while principal per transaction increased 2% or 4% constant currency. The spread between C2C transaction and revenue growth in the quarter was 4%, with a negative 2% impact from currency. Pricing and mix each had a negative impact of 1% in the quarter compared to the prior-year period. We did not have any significant new price reductions implemented in the quarter, as the 1% pricing impact primarily reflects actions taken in the Middle East in the second quarter. Turning to the regional results, North America revenue increased 2% on both a reported and constant currency basis, while transactions grew 1%. The U.S. outbound business delivered good growth again in the quarter, particularly to the Latin American and Caribbean countries. U.S. to Mexico revenue growth improved while U.S. domestic money transfer revenue declines were similar to last quarter. In the Europe and CIS region, revenue increased 3% or 4% on a constant currency basis driven primarily by good results from France and Spain. Transactions in the region increased 8%. Revenue in the Middle East, Africa, and South Asia region declined 7% on a reported basis or 6% constant currency, while transaction growth improved 2% in the quarter. Revenue in the Middle East is being impacted by the previously implemented pricing reductions, which have helped volumes as transaction growth in the region turned positive for the first time in three years. The Latin America and Caribbean region continued to deliver strong constant currency revenue growth, both driven primarily by Argentina, Peru, and Brazil. Revenue in the region increased 2% in the quarter or 16% constant currency, while transactions grew 11%. In the APAC region, revenue declined 10% or 9% constant currency. And transactions were down 2%, with the declines driven by a number of smaller markets. Westernunion.com continued to deliver strong growth as revenue grew 19% and 20% constant currency on transaction growth of 23%. Westernunion.com represented 12% of total C2C revenue in the quarter. Business Solutions revenues increased 1% or 3% on a constant currency basis and represented 7% of company revenues in the quarter. Revenue was driven by growth in payments, which was led by the education vertical. Other revenues which consist primarily of our bill payments businesses decreased 9% in the quarter or increased 7% on a constant currency basis and represented 13% of total company revenues. The Pago Facil walk-in business in Argentina experienced transaction increases and local currency revenue growth, but declined in U.S. dollar terms and our Speedpay U.S. electronic bill payments business also declined. The depreciation of the peso negatively impacted other reported growth by 16 percentage points while increases in revenue per transaction which were primarily driven by inflation benefited other reported and constant currency revenue growth by approximately 9.6 percentage points. Turning to margins and profitability, the consolidated operating margin was 21.8% in the quarter compared to 19.4% in the prior-year period or 20.7% in the prior year on an adjusted basis. On an adjusted basis, the margin expansion was driven by higher incentive compensation rate of expenses in the prior year and timing of marketing spending, which was down 80 basis points compared to the year-ago quarter. Last year's reported margin also reflected WU Way expenses and an accrual related to the Joint Settlement Agreements. Foreign exchange hedges provided a benefit of $4 million in the current quarter compared to a negative impact of $2 million in the prior-year period. We achieved approximately $8 million of incremental savings from WU Way initiatives in the quarter, which gives us approximately $36 million of incremental savings year-to-date. On an absolute basis, we are on track to generate approximately $60 million of savings from WU Way for the full year which is above what we expected. EBITDA margin was 26.4% in the quarter compared to 24% in the prior-year period or 25.3% on an adjusted basis. The GAAP effective tax rate was 21.7% in the third quarter compared to 1.5% in the prior-year period. On an adjusted basis, the tax rate was 11.7% compared to 3.6% in the prior-year period. The increase in the GAAP tax rate was primarily due to non-recurring benefits in the prior-year period and adjustments to our prior-year estimates related to the Tax Act in the current period. As we previously stated, certain of the 2017 impacts related to the U.S. Tax Act enacted in December of last year were provisionally estimated and additional effects would likely be recorded this year. In the third quarter, changes in our estimates related to the Tax Act resulted in a $26.6 million tax expense. The increase in the tax rate on an adjusted basis was primarily due to non-recurring benefits in the prior-year period. We do not have any updates yet on how the BEAT provision of the Tax Act may impact our tax rate in 2019 and beyond. We are working on restructuring our internal business flows to fully or partially mitigate the potential double taxation impact of BEAT which could cause our rates to move up a few points from the mid-teens base, if there's no mitigation. Restructuring these flows have some complexity and requires different regulatory notices and approval and technology and operational changes, but we are making good progress. We should be able to let you know what we expect when we provide our 2019 outlook early next year. Returning to the third quarter results, earnings per share in the current year quarter was $0.46, which compared to $0.51 in the prior-year period. On an adjusted basis, earnings per share was $0.52 compared to $0.53 in the prior-year period. The decrease in reported and adjusted earnings per share was primarily due to higher tax rate in the current year period partially offset by increased operating profit. The C2C margin was 25.1% which compared to 23.5% in the prior-year period. The margin increase was primarily due to the impact of currency, higher incentive compensation related expenses in the prior year, timing of marketing spending and lower average retail commission rates. Business Solutions operating margin improved to 14.2% in the quarter compared to 9.1% in the prior-year period. The increase in operating margin was primarily due to the timing of spending and cost efficiencies. Business Solutions EBITDA margin was 24.6%, which compared to 19.8% in the prior-year period. Operating margin for the businesses included in other was 5.9% in the quarter which compared to 10.5% in the prior-year period. The year-over-year margin decline was primarily due to lower overall revenue and higher bank fees as a percentage of revenue in our U.S. electronic business. Turning to our cash flow and balance sheet, year-to-date cash flow from operating activities was $518 million which includes the impact of an approximately $120 million in tax payments related to the agreement with the U.S. Internal Revenue Service announced in 2011, a $60 million payment for the previously announced New York Department of Financial Services settlement and approximately $30 million of spending on prior year WU Way expenses. Capital expenditures in the quarter were approximately $158 million. At the end of the quarter, we had cash of $768 million and debt of $3.3 billion. During the quarter, we returned $184 million to shareholders including $84 million in dividend and $100 million of share repurchases, which represents 5 million shares. The outstanding share count at quarter-end was 444 million shares and we had $594 million remaining under our share repurchase authorization, which expires in December of 2019. Based on the year-to-date results and recent business trends, we are affirming our full year financial outlooks for revenue, operating profit margin and operating cash flow. We have narrowed our GAAP earnings per share range and increased the adjusted earnings per share range primarily to reflect the lower adjusted tax rate. We continue to expect low single digit reported and low to mid-single-digit constant currency revenue growth for the full year and the operating profit margin outlook remains at approximately 20%. The GAAP tax rate outlook is unchanged at approximately 13% to 14% but we now expect the adjusted tax rate to be approximately 12% down from our previous outlook of 14% to 15%. The change is largely driven by improvement in maximizing our foreign tax credit position under U.S. tax reform and certain discrete benefits. Excluding these discrete items, we would have had a normalized tax rate in the mid-teens this year. The GAAP earnings per share outlook is now in a range of $1.85 to $1.92, while we have increased our adjusted earnings per share range to $1.88 to $1.95, up from $1.80 to $1.90 in the previous outlook. Cash flow from operating activities is still projected to be approximately $800 million in 2018, which is net of approximately $200 million of outflows and the combination of tax payments related to the IRS agreements from 2011, NYDFS settlement payment and WU Way payments related to 2017 expenses. So to summarize, we are pleased with the solid performance in the quarter and operating margin improvement. We are on track to deliver our full year financial outlook with an increase to the adjusted earnings per share range and we continue to return significant funds to shareholders. Operator, we are now ready to take questions.
Operator: We will now begin the question-and-answer session. And our first question will come from James Schneider of Goldman Sachs.
Hikmet Ersek - The Western Union Co.: Hey Jim (sic) [Bill] (17:54).
Bill Schultz - Goldman Sachs & Co. LLC: Thanks guys. This is Bill Schultz on for Jim. Thanks for taking my question. I just wanted to touch really quick, just on the Middle East for a second. You mentioned recently you had taken some price actions to rectify some of the competitive pressures there. Curious if you think it's the main driver of the improvement in transaction volume you guys reported this quarter.
Rajesh K. Agrawal - The Western Union Co.: It is the main driver. We took some price reductions in the second quarter this year just related to competitive reasons as well as the overall market environment. The market environment itself is quite negative just because the expats are leaving many of those markets. We have less jobs for expats in Saudi Arabia, for example. So not only competitive but also just the addressable market environment and we are seeing a direct benefit from the price actions we took, which is positive. Saudi Arabia in particular improved in the quarter.
Bill Schultz - Goldman Sachs & Co. LLC: And just staying with pricing for a second, just touching on Walmart2World competition, you've talked in the past about taking some targeted price actions around Walmart locations to ensure you're competitive in those areas. How has that progress been, and do you feel like you're now priced appropriately in those locations?
Hikmet Ersek - The Western Union Co.: First of all, we have not seen any significant impact in our U.S. outbound business from Walmart. As you know, we have 50,000 locations in the U.S., and our pricing actions we can do is very dedicated and has been – our U.S. outbound business has been doing very well. U.S. outbound to Mexico business is growing, and I think we are very well-positioned in the U.S. Also, our U.S. outbound digital business, westernunion.com business, is showing good results. So I think we are very well-priced and we're going to continue to do, we call it street corner pricing or dedicated pricing around some locations we need it. And we have been doing that for many years and we're going to continue to do that.
Bill Schultz - Goldman Sachs & Co. LLC: Thank you for the color. I appreciate it.
Hikmet Ersek - The Western Union Co.: Thank you.
Operator: The next question will come from Darrin Peller of Wolfe Research.
Hikmet Ersek - The Western Union Co.: Hi, Darrin.
Darrin Peller - Wolfe Research LLC: Hey. Thanks, guys. Hi, Hikmet. Hey, guys. I just want to start off on the Amazon announcement. I think that was a pretty interesting partnership and clearly underscores the magnitude of your network and the opportunity that you can pull around that. But I guess I just wanted to get more color on what the intentions are and what the opportunity is. First of all, maybe you can give us color on how many markets you see this rolling out into, what kind of economics this comes with per – how does it work per transaction. And then do you see this going into other types of e-com players as well?
Hikmet Ersek - The Western Union Co.: I think it shows really how global our network is and how we give access – Amazon wants to give access to millions of customers to buy their products and using our network, so customers can buy globally and pay locally. And that's a big advantage for us because we have already the platform. And the platform, the agent network, we did some adjustments on our systems, and we are now training some of the locations. And Amazon will announce in the right time the markets they want to open. We are ready to go and we are testing, and we have some real transactions starting and Amazon – we'll leave it to Amazon to announce that to their customers.
Darrin Peller - Wolfe Research LLC: So I guess just maybe, if you can, give us any more color on what you think there could be in terms of incremental here. This is all really going after the under-banked, I imagine, right, primarily?
Hikmet Ersek - The Western Union Co.: Yes, Darrin. It is, it is going really under-bankers. Also, maybe they have bank accounts, but it's only local, and they can – they really want to use cash maybe and they really want to use their local cards, so it is really a local currency. And they're going to the customers I believe that they don't have the access today to pay international payments.
Darrin Peller - Wolfe Research LLC: Okay. And then – thanks, guys. And then just quickly and I'll turn it back to the queue. But on the potential for any type of restructuring on – it looked like your B2B business actually improved. I don't know if that was just easier compares or something in the business. If you can, give us more color on that, on the growth rate. And then the potential for restructuring and strategic alternatives, is it for the whole business you would explore either selling or moving around, or is it part of it keeping maybe the education side? Any more interesting – any more color would be great. Thanks.
Hikmet Ersek - The Western Union Co.: I think as you could see, we are very much focused on our B2B business and has been turning to positive growth again, so the team is doing a good job. We have seen good growth rates in certain markets. We do still have some challenges. But as you said, the education part of the business is, payments part of the business is doing very well. But also the trading parts of business showed positive results. So the transactions and the customers are really using it. Please do understand that we don't speculate on any rumors on the markets. We will always look on any opportunity to divest or to buy any business to drive shareholder value. We will definitely look at that. But in this moment, I have nothing to say more about that opportunity or about the diverse in the business.
Darrin Peller - Wolfe Research LLC: Okay. Thanks, guys.
Rajesh K. Agrawal - The Western Union Co.: Thanks, Darrin.
Hikmet Ersek - The Western Union Co.: Thank you, Darrin.
Operator: And our next question comes from Tien-Tsin Huang of JPMorgan.
Tien-Tsin Huang - JPMorgan Securities LLC: Hi. Thanks, good afternoon. Hey, guys.
Rajesh K. Agrawal - The Western Union Co.: Hello, Tien-Tsin.
Tien-Tsin Huang - JPMorgan Securities LLC: Hello, always good to talk. The margins coming in at 22%, I believe that brings your year to date closer to the 20% target for the year, so I'm curious. If we adjust the 21.8% for the 80 bps and the timing of marketing, why wouldn't 21% margin be the new level for margin to consider going forward? It sounds like WU Way is helping that. Just curious how much of that is sustainable.
Rajesh K. Agrawal - The Western Union Co.: It's a good question, Tien-Tsin. You're right. The margin is running slightly above 20% actually for the first nine months. So depending on how the expenses play out in the fourth quarter, we can end up above 20%. We said approximately 20%, but it's running stronger, and I would say we're pleased. WU Way savings that we've been getting are showing up. They are showing up in the margin, and we're always looking for ways to continue to optimize the margin as we look at our cost structure, so it's going to be a positive.
Hikmet Ersek - The Western Union Co.: I think also, Raj, the revenue growth will help us of course given our cost structure being mostly variable. That will help us but, Tien-Tsin, I have to say that as we disclosed last quarter, the team is very much focused on the cost side, margin expansion, efficiency, and our lean management tools are helping the WU Way activities really helping to find efficiencies. And this quarter, we came on savings better than we expected. And so we hope that we continue to do that and the team is very much focused. The margin expansion is definitely something they're focused on.
Tien-Tsin Huang - JPMorgan Securities LLC: Okay, sounds good. It seems like there's a little bit of benefit there on the margins, which is encouraging. So my follow-up I'll ask – I'm trying to pick which question to ask. Let's do the peso question because that has a big impact. So I just wanted to clarify for modeling purposes because it is big. The peso was a 3-point drag on FX. And then the inflation piece helped, it was a 1.7-point benefit to revenue. Is that a good ratio to consider going forward? I know the peso is still volatile, but it's clearly having an impact on the whole P&L. So I'm just trying to understand how we should think about that dynamic of the FX and then the inflation.
Rajesh K. Agrawal - The Western Union Co.: They don't always work in concert with each other. So for this year, that's probably a good ratio. But depending on where inflation is, it could be different from each other. So we're just calling it out just to give you more visibility on that market because it's been quite volatile obviously. We didn't necessarily see that kind of volatility last year, but we're certainly seeing it this year. The peso has devalued about 45% as of the third quarter, and inflation is probably running a little bit less than that obviously. and so it doesn't necessarily mash with each other the way it is right now.
Hikmet Ersek - The Western Union Co.: And one of the reasons we are calling it also is that, as you know, we have the Pago Facil business there, which is done in pesos, and that impacts the reported and constant currency variance there.
Rajesh K. Agrawal - The Western Union Co.: And it's mostly – as Hikmet said, it's mostly in our bill payments business in Argentina, and it doesn't impact the consumer business as much as those numbers show.
Tien-Tsin Huang - JPMorgan Securities LLC: Right, thanks for calling it out.
Operator: The next question comes from Bryan Keane of Deutsche Bank.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Hi, guys.
Hikmet Ersek - The Western Union Co.: Hi, Bryan.
Bryan C. Keane - Deutsche Bank Securities, Inc.: I just wanted to ask – just about that tax rate, the adjusted tax rate. It sounded like you're still trying to understand some of BEAT tax and some of the implications, maybe if you can just walk through some of the potential changes there that you're looking at that could move the tax rate higher?
Rajesh K. Agrawal - The Western Union Co.: Yeah. I mean, Bryan, we don't have a definitive answer yet for next year. If you think about our base tax rate being somewhere in the mid-teens, this year we've been able to get some specific benefits, some discrete benefits that are helping us around our foreign tax credit positions. So that's why our adjusted tax rate is around 12%. And then the BEAT issue for next year which is really an unwarranted double taxation as a result of the U.S. Tax Reform. We are trying to change some business flows internally to alleviate some of that pressure. So our goal is to solve it, not only for next year, but for the foreseeable future and that's the strategy that we're working on. That does require some regulatory approval, some operational changes internally. And so it's complex, but we're making good progress there and we can give you more color as we go into next year. The other avenue that is not under our control is potential legislative change or guidance from Treasury on how to apply the BEAT provisions, because they – most agree that there were some unwarranted aspects of tax reform related to BEAT, and it's creating a double or even sometimes triple taxation in certain cases. So those are the two ways that we're looking at it, but we're making good progress, I would say.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay. And then, Hikmet, just wanted to ask about looking at your portfolio of assets, it sounds like you're looking at strategic options in the B2B business. Are there other things you're looking at to either divest or potentially even add to the portfolio of assets, as you see it in Western – yeah, on the Western Union books?
Hikmet Ersek - The Western Union Co.: As I said Bryan, good question. I will always look for an opportunity which is in – drives the shareholder value. Saying that is – on the market, if something on the digital environment pops up, which could be interesting for us and adds to shareholder value, we will definitely look at that. That could be interesting. But on the – generally, I would say that we are very much focused on the cross-border cross-currency money movement and that platform as we also announced it, our relationship with Amazon has a value and we're going to continue to focus on the moving money cross-border cross-currency which fits in there. We will definitely be active there also. And so, I'll leave it there Bryan.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay. All right, helpful. Thanks guys.
Hikmet Ersek - The Western Union Co.: Thanks, Bryan.
Rajesh K. Agrawal - The Western Union Co.: Thanks Bryan.
Operator: And the next question will come from Jason Kupferberg of Bank of America Merrill Lynch.
Jason Kupferberg - Bank of America Merrill Lynch: Hey, thanks, guys.
Hikmet Ersek - The Western Union Co.: Hi, Jason.
Jason Kupferberg - Bank of America Merrill Lynch: Hey, how are you?
Hikmet Ersek - The Western Union Co.: Good. How are you?
Jason Kupferberg - Bank of America Merrill Lynch: Good, good. So just on C2C constant currency growth. It looks like it's been kind of slowing as we go through the year here I think from 5% to 3% to 2%. And there was a tougher comp in Q4. So just wanted to know how we should think about C2C growth for this current quarter. I mean, could it slow a little bit further? I know you still got some of the pricing headwind from what you did last quarter in the Middle East, but how are you thinking about the Q4 there on C2C?
Rajesh K. Agrawal - The Western Union Co.: Yes. I mean just generally, Jason, the consumer business was relatively consistent, got a little bit slower. The strong growing areas continue to be strong like Latin America, Europe and then U.S. outbound or U.S. outbound to Mexico actually improved in the quarter. They were not as strong as we saw in the previous quarter, but still good strength there. Middle East got a little bit worse, but the transaction growth is turning positive there and that's a good thing for us. And so, I wouldn't expect too much of a difference as we go into the rest of the year. We did have strong double-digit growth in our dotcom business, so that continues to be very strong. So we feel good about the overall trend. If you look at the cross-border principal that we've gotten – in terms of growth that we've gotten year-to-date, it's been growing around 8% year-to-date which is above where the market is growing based on the World Bank estimates at 4.5%. So we're getting good principal growth around the world and we feel good about our positioning at this stage.
Hikmet Ersek - The Western Union Co.: Yes. We feel generally good about our year-end guidance as we also mentioned earlier.
Jason Kupferberg - Bank of America Merrill Lynch: Okay. And just on wu.com. I guess the revenue growth – the constant currency revenue growth there has been lagging the transaction growth to some extent. Is that just pricing? Are there some other factors in there? And do you think 20% is sustainable for wu.com revenue growth constant currency going forward?
Michael Alan Salop - The Western Union Co.: There's not a lot of pricing in there. It's more the geographic mix of the in terms of going forward.
Rajesh K. Agrawal - The Western Union Co.: We continue to see good growth opportunities there. In any given quarter, the revenue growth or the transactions may be somewhat different, but we have a lot of things. We have more expansion around with geographies, more channels, more accounts, yeah, those types of things.
Jason Kupferberg - Bank of America Merrill Lynch: Right. Okay.
Hikmet Ersek - The Western Union Co.: One thing I would like to mention here is also – the outbound business is doing pretty well. We saw some softness at the domestic money transfer business at the dotcom business that impacted, but besides that within the real focus is, as you know, the outbound business from the U.S. or from Europe and the new markets long-term, will also add on to transaction growth which we just announced Mexico and Malaysia for instance, and we have about 50 countries now. And we're going to focus – that's a long term opportunity. We're going to focus expanding them, but the growth is coming very strong also from the existing markets and we are pleased with our westernunion.com expansion.
Jason Kupferberg - Bank of America Merrill Lynch: Okay. Thank you, guys.
Hikmet Ersek - The Western Union Co.: Thank you.
Rajesh K. Agrawal - The Western Union Co.: Thank you, Jason.
Operator: Our next question comes from Rayna Kumar of Evercore ISI.
Rayna Kumar - Evercore ISI: Hi, thanks for taking my question.
Rajesh K. Agrawal - The Western Union Co.: Hi, Rayna.
Rayna Kumar - Evercore ISI: Could you update us on...
Hikmet Ersek - The Western Union Co.: Rayna, it's hard to hear you. Rayna, can you speak up? Sorry.
Rayna Kumar - Evercore ISI: Hello. Okay, great. Could you update us on your capital allocation priorities for 2019? Specifically when the board next meets do you expect them to approve a dividend increase? And how much of your cash flow you'll allocate to share repurchase next year?
Rajesh K. Agrawal - The Western Union Co.: I won't get into all those specifics, but if you just look at our history, Rayna, you can see that we've – for the last few years in a row, we've raised the dividend. Obviously, it's based on business performance, but we've been able to increase the dividend each year for the last few years. We've also been buyers of our stock the last few years and we've been typically in that $400 million-plus range for stock buyback. So, our capital priorities have not changed. We want to invest in the business to drive organic growth. We pay more than $300 million in terms of dividends and we want to continue to improve that. We'd like to do the right kind of acquisition. And then lastly, we use excess cash to buy back stock, if it's at the right place. So those are really the capital priorities and you can see what we've done this year. We've already returned through both dividends and buybacks around $600 million. So..
Hikmet Ersek - The Western Union Co.: And also I think we have a authorization about almost $600 million, $500 million left until end of 2019.
Rajesh K. Agrawal - The Western Union Co.: Yeah.
Rayna Kumar - Evercore ISI: That's very helpful. Could you also discuss the drivers to the improvement in your Business Solutions business? And could we see revenue accelerate further from here?
Hikmet Ersek - The Western Union Co.: We hope that we are very much focused on the Business Solutions. The team is doing a great job. Our payments business as I mentioned earlier is doing well, and we're going to expand that. And also, our trading business is doing well. The foreign exchange trading business is doing much better. We do still have some challenges in parts of the world with some volatility challenges, customer loyalty challenges. But besides that, I see a good path on the execution much better than earlier, and we hope to keep the momentum.
Rajesh K. Agrawal - The Western Union Co.: We're moving customers to our EDGE digital platform, as we talked about before, and that continues – those are the lower-end or smaller customers, and that creates more stickiness with that customer base. It also frees up our sales resources to go after the larger-value accounts. We're also driving heavily into the vertical segments that have been more successful for us like education and financial institutions in more geographies. And then we'll always need good global trade growth as an underpinning to have good success in this business. And the margin improvement in the business has also been a bit positive this quarter.
Rayna Kumar - Evercore ISI: Thank you.
Hikmet Ersek - The Western Union Co.: Thank you.
Rajesh K. Agrawal - The Western Union Co.: Thank you.
Operator: And our next question will come from James Faucette of Morgan Stanley.
Rajesh K. Agrawal - The Western Union Co.: Hi, James.
James E. Faucette - Morgan Stanley & Co. LLC: Thanks very much. Hi, good afternoon. I wanted to just ask quickly about your new UK large transactions offering. And how do you think about the growth opportunity in this type of product and what the demand can look like? And then I'm also wondering. From a profitability standpoint is there any difference on compliance costs, et cetera?
Hikmet Ersek - The Western Union Co.: So, I think that's a very interesting opportunity for us. As you know, we were very much focused on our fast transactions payout in a location. But as we know how billions of accounts grow globally, we could do products like that with different – adapting our compliance programs, understanding the customer, know your customer. And as you know, over the years we did invest a lot on our compliance programs. We use artificial intelligence, and we feel quite comfortable with our compliance and anti-money laundering program. The team is doing a good job there to offer new products to new customer segments. Obviously, £50,000 have to come from a bank account and go to a bank account. And doing that, we believe that we have a good competitive position, and the market circle shows that we could compete here. And we started now with the UK which there's a need on that. We ask the customers if they would like – they like that product. And based on the success story, we may go worldwide.
James E. Faucette - Morgan Stanley & Co. LLC: And then on the compliance issue, it seems like there's a fair amount of variance among the different competitors for cross-border remittances in terms of who's doing how much compliance, and you guys clearly have been a leader in improving the compliance process. Is that still having an impact on customers and that kind of thing, or have customers and share shifts normalized or stabilized so that that's not much of an issue anymore?
Hikmet Ersek - The Western Union Co.: I think the customers like to use a trusted brand. In the beginning, of course, if you change the processes, it may have an impact, and the customer experience changes. But over years, one thing we learned is that the customers, when they move money, they really like the trust, and you want to trust the brand which the money really arrives. The sender feels comfortable or you feel comfortable to send that. That has shown the customer experience, customer surveys show that the customers actually like our programs. We are doing it much easier now for the customers, especially the second transaction like staged transaction or mobile, when you stage a transaction go to a location and do your transactions. It's going very well actually. And all these paperless transactions, knowing the customer in advance, and also knowing the customer on the receive side helps us a lot. And artificial intelligence, what we invested in technology helped a lot. And our biggest benefit is that we are in 200 countries with 131 currencies and combined in our more than 20,000 corridors. And you need definitely investment on the technology here. And so I think – also as Raj mentioned before, our principal amount is increasing. So we are gaining compared with the world bank market share obviously here based on our programs.
James E. Faucette - Morgan Stanley & Co. LLC: That's great to hear. Thank you so much.
Hikmet Ersek - The Western Union Co.: Thanks.
Rajesh K. Agrawal - The Western Union Co.: Thank you.
Operator: The next question comes from Ashwin Shirvaikar of Citi.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Hi, Hikmet. Hi, Raj.
Hikmet Ersek - The Western Union Co.: Hi Ashwin.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Hey, how are you guys?
Hikmet Ersek - The Western Union Co.: Good. How are you, Ashwin?
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Good, good. Happy November. I guess let me start with – you have this $90 million capitalization of contract costs in the quarter. I went back quite a ways, and I don't see a capitalization of costs that large. So is that basically like a single contract like Amazon, or were there many like super-agent renewals, or is there something going on in terms of accounting assumptions, any color?
Rajesh K. Agrawal - The Western Union Co.: I don't see this as a run rate of any kind. We have lumpiness sometimes in our agent renewals. In any given year, probably, 20% of our contracts are renewing. So we did renew a large agent with Safeway and we extended the Albertsons relationship, which gives an incremental 1,000 locations to be live early next year. And so that certainly was a key part of the agent bonuses. But again, our total CapEx – if you look at the total CapEx, it's historically been in the 3% to 5% range as a percent of revenue. And this year we'll be at the higher end of that range, but the last several years in a row it's been always in that range 3% to 5%. So I don't see it being anything different there.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Okay. Okay. So it's a use of cash type of question. On the tax rate, Raj, a couple of questions. You tried to explain the uncertainty with base erosion provisions and I get that. But if the opinion that you get back from the Treasury is a negative one, what are your other tax planning alternatives? I know you mentioned change in business flows, but I don't quite understand what that means. And I wasn't sure if you mentioned a timeframe to come up with this. And I'm only asking because it's material a few percentage points. So can you help from a modeling perspective?
Rajesh K. Agrawal - The Western Union Co.: Because of the way the principal flows happen from U.S. outbound to our international entities, and the way to BEAT provisions work without getting too technical, Ashwin, that creates the double taxation and even sometimes triple taxation. So we need to change the way the principal flows work in the company to alleviate some of those double or triple taxation. So that's what we're working on. Our goal is to get at least part of it if not all of it solved for next year and beyond. We also agree that it's quite valuable for us to solve it, and we're looking at that and we're making good progress. So there's not much more I can say beyond that, and then there are a number of other tax planning strategies that we are working on like we do every single year. I mean, this year our going in position was we were in the mid-teens rate for attach rate. We are going to end up probably around 12% on an adjusted basis. So we're always looking at some specific opportunity and we'll give you more color as we go into next year. But looking at our history of how we've managed our attach rate has been quite strong. So we have some of the best people working on that and we'll give you more color early next year.
Ashwin Shirvaikar - Citigroup Global Markets, Inc.: Got it. Thank you for that.
Rajesh K. Agrawal - The Western Union Co.: Sure.
Hikmet Ersek - The Western Union Co.: Thanks.
Operator: And next we have a question from Kartik Mehta of Northcoast Research.
Kartik Mehta - Northcoast Research Partners LLC: Hey, Raj.
Rajesh K. Agrawal - The Western Union Co.: Hey, Kartik.
Kartik Mehta - Northcoast Research Partners LLC: How are you?
Rajesh K. Agrawal - The Western Union Co.: Hey, how are you? Good, good.
Kartik Mehta - Northcoast Research Partners LLC: Raj, looking at the margin, obviously, exceeding expectations and you mentioned WU Way as a contributor. But is that the only contributor to the expansion you're seeing, or is there more to it? I know revenue growth hasn't gotten to where you wanted it. So I was wondering if there's other drivers maybe to that margin expansion?
Rajesh K. Agrawal - The Western Union Co.: Yeah. For the quarter, marketing spend was down from a year ago, so that was about 80 basis points lower. And that's certainly a key part of it. If you think about margins overall and I think, Hikmet, mentioned some of the factors that revenue growth is going to be a key driver because of our cost structure, which is 40% fixed. Then you look at commissions, which we've been able to do a really good job of the last few years including this year on bringing those rates down, and the overall mix impact is also helping us there. Compliance costs have been the same basically on a percentage of revenue basis the last several years. That's quite stable. And then the WU Way efficiencies, that's above our expectations for this year, so that's also helping the margins. So those are the various factors. And as we look at fourth quarter and next year, these are the factors that will impact margins, and as Hikmet mentioned, we are absolutely focused on doing more with profitability and trying to find better opportunities for ourselves there even in the face of the growth levels that we have today.
Kartik Mehta - Northcoast Research Partners LLC: I know you, obviously, can't talk about transaction or divestiture. I'm wondering though if you're successful with divesting a business or two, what do you intend to do with the proceeds.
Rajesh K. Agrawal - The Western Union Co.: Yeah, I mean, we can't really speculate obviously Kartik as you said. So, in terms of use of proceeds if we were to have some kind of a transaction, all I can point you to is our capital priorities that I went through earlier. We've been very shareholder-friendly. We've given a lot back through dividends and buybacks, and we also have been investing in our business for organic growth, and we would like to do the right kind of acquisition if one presented itself. So those are the choices we have, and we'll look at those very closely to see what makes most sense if we were to have some kind of a transaction which there's no guarantee of that. But if we had something, we would certainly look at that same lens that we do today in terms of capital priorities.
Kartik Mehta - Northcoast Research Partners LLC: Thank you very much.
Rajesh K. Agrawal - The Western Union Co.: Sure.
Operator: And next we have a question from Andrew Jeffrey of SunTrust.
Hikmet Ersek - The Western Union Co.: Hi, Andrew.
Jennifer Dugan - SunTrust Robinson Humphrey, Inc.: Hi. It's Jenny Dugan on for Andrew.
Hikmet Ersek - The Western Union Co.: Hi, Jenny.
Jennifer Dugan - SunTrust Robinson Humphrey, Inc.: Hi. Just following-up on the comments about lower average retail commission rates, can you talk about what's happening there? Are you gaining some type of bargaining power or leverage? What's driving those rates down?
Hikmet Ersek - The Western Union Co.: Yeah. I think that's part of it, right? So I mean, we have been very competitive in the market. As you know, we have more than 550,000 locations. That brings us a huge advantage over the years because we can really go after any market, we would like to see the opportunity where we see competitive advantage. And in the beginning, as you know, as we enter in a market, you do pay higher commission. But as you generate revenue and you've been longer in the market, you'll have a deal with an agent that helps us to bring the commissions down. That's a part of that. It's not a onetime. It's a multi-year effort. We start about three to four years ago and it has been consistently going down. Sometimes in some quarters we may have a signing bonus or some higher effective rate, but generally the commissions will continue to go down. The other part is also the mix. One of our strongest growing business is paying out on an account for an instance from westernunion.com to an account, and that helps also obviously I can't pay out as much lower commission rates than paying out manual on a location.
Jennifer Dugan - SunTrust Robinson Humphrey, Inc.: Okay. Great. Thank you.
Hikmet Ersek - The Western Union Co.: Thank you.
Rajesh K. Agrawal - The Western Union Co.: Thank you. I think, Laura, we're just having one more question on the queue, so we'll take the final question.
Operator: Yes. That question is from James Friedman of Susquehanna.
James Eric Friedman - Susquehanna Financial Group LLLP: Hey, guys. Thanks for sneaking me in. It's Jamie at Susquehanna. Yeah. I just wanted to ask about what is the current temperature on compliance environment? I know you had put in a lot of automated initiatives. We're still thinking in the 3%, 3.5%, 4% range? Or is there an opportunity to scale that better over time?
Rajesh K. Agrawal - The Western Union Co.: Well, the answer is, yes, probably to both your questions. We're still in the 3.5% to 4% range this year. And if you look at the last three years, it's been the same range, same ballpark, around 3.5-ish type percent. And at some point, we will get leverage on our compliance spend, right? And as we grow the business as we have more growth overall, we should be able to get better leverage there, because there is a portion of our compliance and that's fixed in nature, and then there's a portion that's going to be variable in nature that's more transaction related. So, we absolutely look at it that way and we've sort of stabilized out or leveled out after some initial increases a few years ago, but that's definitely how we're looking at it.
Hikmet Ersek - The Western Union Co.: And also artificial intelligence if you look at that data management helps a lot to being more efficient.
James Eric Friedman - Susquehanna Financial Group LLLP: And then for my follow-up, I just want to go back to the exciting Amazon partnership and we were getting a lot of questions about it yesterday about the use cases. I know Hikmet you described some of them, the local and the global. Do you have any updated data about the unbanked population and the network? That's been a metric that you shared but only periodically. We are just trying to figure out like who's going to use the Amazon relationship and what the profile might be?
Hikmet Ersek - The Western Union Co.: Yeah. So, generally as you can imagine there are parts of the world, which don't have the international cards. They want to use it and that helps a lot our platform. But we are a provider to Amazon. It's Amazon customers. They want to promote the product within the Amazon. I'll leave it really with Amazon there. We really provide our platform to them to serve their customers and they're focused on the – I guess they're focused on the market. They want to launch and they want to promote it. And I really want leave it with Amazon and I believe that you're going to hear within the next few weeks several announcements on that. And the customer segment I will say that most of the customer, they would like to go to a location, pay cash or pay in their local currencies and the – you buy online and then you just go, and then the goods you bought online will be sent to you.
James Eric Friedman - Susquehanna Financial Group LLLP: Got it. Thank you for the perspective.
Hikmet Ersek - The Western Union Co.: Thank you.
Rajesh K. Agrawal - The Western Union Co.: Thank you.
Michael Alan Salop - The Western Union Co.: Thanks everyone for joining today's call. Have a good evening.
Hikmet Ersek - The Western Union Co.: Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.